Operator: Greetings. Welcome to FLEETCOR Technologies, Inc. Second Quarter 2021 Earnings Conference Call. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to Jim Eglseder, Head of Investor Relations. Thank you. You may begin. 
James Eglseder: Good afternoon, everyone, and thank you for joining us today for our second quarter 2021 earnings call. With me today are Ron Clarke, our Chairman and CEO; and Charles Freund, our CFO. Following the prepared comments, the operator will announce that the queue will open for the Q&A session. It is only then you that can get in the line for questions. Please note that our earnings release and supplement can be found on the Investor Relations section of our website at fleetcor.com.  
 Now throughout this call, we will be presenting non-GAAP financial information, including adjusted revenues, adjusted net income and adjusted net income per diluted share. This information is not calculated in accordance with GAAP and may be calculated differently than non-GAAP information at other companies. Reconciliations of historical non-GAAP information to the most directly comparable GAAP information appears in today's press release and on our website as previously described.  
 I do need to remind everyone that part of our discussion today may include forward-looking statements. These statements reflect the best information we have as of today. All statements about our recovery, outlook, new products and acquisitions, expectations regarding business development and future acquisitions are based on that information. They are not guarantees of future performance, and you should not put undue reliance upon them. We do not undertake any obligation to update any of these statements. These expected results are subject to numerous uncertainties and risks, which could cause actual results to differ materially from what we expect. Some of those risks are mentioned in today's press release on Form 8-K and in our annual report on Form 10-K, both filed with the Securities and Exchange Commission. These documents are available on our website and at sec.gov.  
 Now with that out of the way, I will turn the call over to Ron Clarke, our Chairman and CEO. Ron? 
Ronald F. Clarke: Okay, Jim. Thanks. Good afternoon, everyone, and thanks for joining our Q2 earnings call. Upfront here, I'll plan to cover 3 subjects. First, I'll share my perspective on our Q2 results, along with rest of year outlook. Second, I'll provide an update on our 2 newest acquisitions. And then lastly, I'll talk about our fuel card business, including our latest view on EV, along with a couple of innovative developments underway in that business.  
 Okay. Let me turn to our Q2 results. So very pleased to report outstanding Q2 financial results meaningfully above our internal expectations. We reported Q2 revenue of $667 million that's up 27% and cash EPS of $3.15, up 38%. Both our Q2 '21 revenue and cash EPS exceeded our Q2 '19 results, so finally moving past our pre-pandemic baseline. Organic revenue growth came in at 23% for the quarter, our full AP outsourcing platform segment up 53% versus Q2 last year.  
 The trends in the quarter are really quite good. Our same store sales metric improved to plus 18%, so hardness of 18%, many of the sectors in our client base recovering. Retention, record level, we reached nearly 94%, an all-time high since we've been reporting the metric. And interestingly, our global fuel card business reached 92% retention, also an all-time high. Credit losses remain very good, running at historic levels. And sales outstanding in the quarter finishing up almost 2x last year's Q2 and up 6% against 2019.  
 Okay. Let me transition to our view of the rest of the year. So today, we're raising guidance to $2.765 billion at the midpoint for full year revenue, raising cash EPS at the midpoint to $12.90. That's driven by our Q2 beat, the AFEX close and really the momentum that we have running into the second half. I do want to remind everyone we had previously guided to a pretty substantial second half sequential step-up already. As a reminder, cash EPS guidance up nearly $0.60 from the start of the year. So we opened the year at $12.30; today, $12.90, so obviously, better than we outlooked.  
 The second half guidance implies a few things. So first, the revenue growth will run about 20% ahead of last year and high single digits really above the second half 2019 baseline. So we are expecting the business to reach all-time highs again in both revenues and profits. Our Q4 EPS profit guidance implies nearly a $14 annualized cash EPS exit rate.  
 Okay. Let me transition now to an update on our recent acquisitions. So as a reminder, we closed AFEX, that's the add-on cross-border deal, on June 1. And then last week, we signed definitive documents to acquire ALE, which is a lodging provider to the insurance vertical.  
 So let me start with ALE, really a highly complementary add-on to our existing lodging business, and that company brings a whole set of specialized capabilities designed just to serve the insurance vertical. So we've got a pretty interesting synergy plan for that business and expect accelerated revenue and profit growth next year.  
 We're also well underway on our AFEX integration. We've already exited about $10 million of run rate payroll expense. We've implemented one unified cross-border management organization, and we've designed an IT consolidation plan to move to a single system. That will significantly reduce run rate IT and operations expense.  
 So look, both of these acquisitions, classic FLEET wheelhouse deals. We paid reasonable prices. They're extensions of our existing business, so we know them well. And both have very rich synergy opportunities. we're expecting the businesses to grow about 20% on the top on a pro forma basis next year and together deliver incremental cash EPS in 2022 in the $0.50 to $0.70 range, so big upside. So obviously, we are quite enthusiastic about the transactions.  
 All right. Let me shift gears now and talk a bit about our fuel card business, which we continue to love and which we think has a bright future. So I'll talk a bit about EV, the latest and greatest, and then talk about innovation and specifically 2 new things that we're doing to improve the growth prospects of our fuel card business.  
 So starting out with EV. I mentioned last time, we're really embracing EV as an opportunity and in no way see it putting an end to our fuel card business. Employers are going to need to reimburse employees for recharging electric vehicles much like they reimburse employees for refueling combustion engines. And I think you may find that it costs more to operate EV than people think.  
 We also think there'll be some new economics and that we've got an opportunity to achieve, very similar economics from EV measuring and reimbursing as we do from combustion engines. We've included a couple of EV exhibits in our Q2 earnings supplement. You'll see some comparisons of spend where the cost of public charging is about 70% of fossil fuel charging. And then because there's more attractive MDR rates, we believe that we can achieve pretty interesting revenue there as well.  
 In a nutshell, we expect the at-home software subscription fees to be pretty significant and augment a number of the other fees that we get in the revenue mix.  
 We are outlooking the commercial transition to EV to be slow, particularly here in the U.S., giving us ample time to build out our public charging network and implement recharging at home. We expect mixed fleets to be how things start out. So our incumbent position should give us quite an advantage in consolidating activity and data for our clients. So look, in conclusion, we're outlooking EV to really just be a different way to serve commercial fleets but one in which we think can still be attractive.  
 All right. Let me leave EV and cut over to the couple of innovations that we're working in the fuel card business. So first is digital and particularly digital selling, which now in Q2 has reached about 60% of all our new fuel card sales globally coming to us digitally. So lots of improvements in our digital selling capabilities. We've got automated keyword bidding now. We've redesigned our websites to maximize sales conversion, and we're beginning investments at the top of the funnel in the form of digital TV, radio, Facebook advertising, which is driving about 50% more visitors to our websites, so obviously leading to incremental sales.  
 The last innovation I'd like to touch on is our effort to transform our fuel card UI, which is used by over 100,000 clients, really into a broader payment platform. So we're combining our newest cloud-based SMB bill pay platform with our fuel card UI so that clients go on to pay us the fuel card bill that they'd have the option then of paying additional vendors with the same software platform. So this idea is really aimed at accelerating the number of active bill pay clients we can add to our platform and again beginning the transformation of the fuel card business into a corporate payments business. So we'll keep you updated there as we go.  
 So look, in closing, 3 thoughts for you. So one, on '21, again, we're pleased with Q2, particularly the record retention and record sales levels. And again, our second half outlook calls for new all-time highs again in revenue and profits. Second, on the fuel card business, again, we think the prospects are bright for the business. We do have a plan to monetize EV adoption by providing some new services and particularly measuring and reimbursing at-home recharging. We've got an opportunity to keep stepping up digital sales and digital advertising at the top of the funnel. We think we can drive incremental visitors and incremental sales. And we're launching a bill pay cross-sell opportunity to our fuel card clients again by turning our existing fuel UI into a broader payment platform.  
 And lastly, although early, we're quite encouraged by our 2022 setup. Our second half guidance calls for nearly $7 in cash EPS for the second half or approximately $14 annualized, again forecasting record sales for the full year, which will flow revenue into next year. Will roll off $1 billion in interest rate hedges in January. That will free up about $0.20 of incremental cash EPS. And lastly, our 2 newest acquisitions, hoping to contribute in the $0.50 to $0.70 range of incremental cash EPS. So look, taken together a lot to like about our 2022 setup.  
 So with that, let me turn the call back over to Chuck. He'll provide some additional details on the quarter. Chuck? 
Charles Freund: Thanks, Ron. I'm delighted to share with you the results of a very good quarter. For Q2 of 2021, we reported revenue of $667 million, up 27%; GAAP net income up 24% to $196 million; and GAAP net income per diluted share up 26% to $2.30. Adjusted net income for the quarter, or ANI, increased 36% to $268 million and ANI per diluted share increased 38% to $3.15 as we finally lapped the worst of COVID. Organic revenue growth improved 29 points sequentially to up 23% on a year-over-year basis, driven by strong sales, record retention levels and same-store sales recovery.  
 Looking at organic growth across the categories. Corporate payments was up 32% in the second quarter, led by our full AP solutions. We are seeing very good success leading with our full AP and selling a more complete package versus just a stand-alone virtual card offering. Full AP is clearly what we prefer to sell, so we've reoriented our combined sales force with this focus, and it's paying off.  
 T&E card revenue was up 58% year-over-year, rebounding significantly as business activity and travel began to resume. This T&E description is a bit of a misnomer as it's really a multipurpose card that can be used as either a purchasing card or as walk-around plastic, depending on how the customer wants to use it. And while spending within T&E-related categories has rebounded, it's still below historical levels. So there's clearly room for further improvement there.  
 Cross-border revenue was up 25%. These results do include 1 month of AFEX with pro forma results for Q2 last year, so which is if we owned it in both periods. And finally, virtual card revenue was up 13%. Both of these areas are still affected by COVID softness in industries that we've discussed before, like airlines, cruise operators, hotels and restaurants, international trade and commercial construction to a lesser extent. We do believe much of this softness is recoverable, but the timing is hard to predict.  
 Fuel was up organically 19% year-over-year with strong retention trends and record digital sales helping to drive the performance. We still see opportunities for further softness recoveries in fuel once the labor shortage affecting our large trucking fleet customer subsides and offices reopen more broadly so our white-collar commuters can return to normal activity levels.  
 Tolls was up 9% compared with last year and showed impressive performance in light of the lockdowns in place for much of the quarter. This growth was driven by record first half tag sales, demonstrating the value proposition and attractiveness of our offerings even when many folks aren't driving on the roads. And approximately 1/4 of all consumer tags sold year-to-date are signed up to urban plans, which allow purchases beyond tolls, such as for parking, fueling and fast food. We also added 25% more fuel stations to our tag acceptance network during the first half with plans to add another 50% during the second half. The combination of urban tag sales and non-toll network expansion should produce Beyond total volume growth as lockdowns ease and consumer activity increases.  
 Lodging was up 39%, with workforce up 36%. The pace of improvement in workforce lodging has leveled off some as customers are being held back by the labor shortage, but we feel this volume will come back over time as the labor market normalizes. Airline lodging was up 49% as domestic air travel recovered faster than expected but still remains below historical norms. International airline lodging should come back as international air travel recovers. So despite the sizable recovery in lodging, we still see upside potential here.  
 Gift organic growth was 22% year-over-year, benefiting from continued retailer embrace of the online sales channel. We expect this trend to continue as we are experiencing success with gift clients using our proprietary platform to sell both digital and physical cards online. In fact, we expect to double the number of clients utilizing this platform by year-end. Momentum in mobile wallet services and B2B sales, where third parties sell gift cards to companies for use as employee incentives and rewards, are also contributing to the improvement.  
 Looking further down the income statement. Our operating expenses were up 18% to $370 million, totaling 55% of revenue. The increase was primarily due to higher levels of business activity, the effect of currency translation impact on international expenses and acquisitions. We've also made incremental investments in digital sales and top-of-funnel marketing efforts and incurred some nonrecurring integration-related expenses for AFEX, such as severance and platform migration costs. Operating margins improved 4 points from last year to 45% due to recovering volumes that have higher margins, higher fuel prices and solid expense control.  
 In the quarter, bad debt was $6 million or 2 basis points. Credit performance continues to be strong, although we do expect our bad debt to normalize as our new sales improve and grow. Interest expense increased 7% to $34.7 million due to a $6.2 million charge associated with our debt refinance, a higher balance on the new Term B note partially offset by lower borrowings on our revolver and lower LIBOR rates on the unhedged portion of our debt. Our effective tax rate for the second quarter was 25.2%, similar to last year, and reflects a $6.5 million adjustment to our deferred tax position due to a rate change in the U.K. In our guidance, we are increasing our expected tax rate for the year given this adjustment and an assumed lower level of excess tax benefits on stock option exercises in the second half.  
 Now turning to the balance sheet. We ended the quarter with $1.3 billion of unrestricted cash. We also had approximately $1.2 billion of undrawn availability on our revolver. In total, we had $4.1 billion outstanding on our credit facilities and $1 billion borrowed on our securitization facility. As of June 30, our leverage ratio was 2.62x trailing 12-month adjusted EBITDA as calculated in accordance with our credit agreement.  
 We repurchased approximately 926,000 shares during the quarter for $246 million at an average price of $266 per share. The Board increased our share repurchase authorization by $1 billion on July 27, which now gives us $1.6 billion of share buyback capacity. Now even including the recent buybacks, the AFEX closing and the pending ALE deal, we still have low leverage and ample liquidity for additional deals and/or buybacks. Our high margin, high cash flow business, which generated $268 million of ANI this quarter quickly replenishes capital, allowing us to pursue attractive buying opportunities as they present themselves.  
 Now let me share some thoughts on our outlook. We are raising our full year revenue guidance to between $2.74 billion and $2.79 billion, which is up over $100 million at the midpoint. We are also raising our adjusted net income per diluted share guidance to between $12.80 and $13 or $12.90 at the midpoint. AFEX is a big contributor as is a better macro environment in addition to volumes that improved faster than we expected in the first half of the year. We continue to be encouraged by our strong sales and retention trends and currently expect COVID volume recovery to continue through the second half of the year. We are being mindful of the potential impact from the Delta variant, and we'll adjust our outlook and operations as necessary.  
 We are expecting Q3 2021 adjusted net income per diluted share to be in the range of $3.35 to $3.55.  
 You can see our full updated guidance and assumptions in our press release, so I won't reiterate them here. I would note that our guidance does not include the impact of the ALE acquisition that we just announced. We'll update for that when we actually close the transaction.  
 In closing, I'd like to thank my 8,000-plus FLEETCOR colleagues around the world who persevered through the pandemic, helped us return to growth this quarter and have positioned our company for a strong second half and beyond.  
 With that said, operator, we'll open it up for questions. 
Operator: [Operator Instructions] Our first question is from Sanjay Sakhrani with KBW. 
Sanjay Sakhrani: Ron, I'm curious what surprised you in the second quarter in terms of -- sort of relative to your expectation as you looked at the strength. And I know, Charles, you just mentioned you guys are sort of anticipating the rebound to continue, but the second half guidance didn't go up a whole lot. Understandably, last quarter, you guys took up guidance. So I'm just trying to reconcile all of that, if you could just walk us through that. 
Operator: We are having technical difficulties. Please be patient while we fix the difficulties. Just one moment, please.  
 [Technical Difficulty] 
Ronald F. Clarke: Sanjay, it's Ron. I don't know if you can hear me now or not. 
Sanjay Sakhrani: I can hear you now. 
Ronald F. Clarke: Okay. Great, great. so what I was saying, where I cut out here, is no surprising sales, right? So I think we'd shown previously kind of the climb back, right, from a year ago where we were against the baseline. And so to basically post really a record number and really almost across the board, I'd say that's probably the most surprising, most positive thing.  
 And then the second thing, I guess, I'd say is just the ratability. Obviously, coming into this year, we were a little cautious, right? Should we give guidance? How well can we plan this business, et cetera. And so I'd say both this quarter and the first half, along with our outlook that we're -- that I'm surprised that basically, things are tracking as well or better kind of than the plan that we build. So that -- those would be the couple of things from me. 
Sanjay Sakhrani: And I guess, I'm sorry, just -- if we think about the second half, you guys aren't necessarily expecting that strength -- or that strength isn't outpacing your expectations. Is that because we're sort of putting in some more conservatism or something else? 
Ronald F. Clarke: Yes. That's a good question. So I'd say a couple of things. So again, we have taken up the second half from 90 days ago. But more importantly, I think the sequential number was already up a lot, Sanjay, I think before we printed the number for Q2. I think I commented 90 days ago that our full year number had our Q4 revenue up, I think, $100 million from Q2. So that would be my second point that we're outlooking basically making $7 in the second half versus $6 off of a good quarter here. So it's still up, but we had already basically forecasted the thing to sequentially keep improving. 
Sanjay Sakhrani: Got it, got it. And my final question, just -- I always ask this question, but just M&A pipeline. I know you guys took up the share buyback. Is that a reflection of the M&A pipeline or there's opportunities to do both? 
Ronald F. Clarke: Yes. So I think I said in the last call, we always start with a pipeline. We have attractive things in front of us. And yes, we do. That's what caused us to refi the thing and take up our liquidity. So yes, I know I sound a bit like a broken record, but in front of me is our pipeline sheet. We've got 2 or 3 things close in that we're going to decide on and we've got another kind of 2 or 3 things that we may do before the year is over. So as always, we've got some interesting things.  
 And then second, we've -- I think we've got enough liquidity. I don't have it in front of me, but circa $1.5 billion to $2 billion. We're generating, what, $250 million a quarter. So that's another $500 million in the second half. So we've really got, for once, kind of plenty liquidity. Leverage ratio, I think, is in the mid-2s. So when you put it all together, I think we feel pretty able to do, Sanjay, virtually anything we want. 
Operator: Our next question is from James Faucette with Morgan Stanley. 
James Faucette: I appreciate the color and commentary on the capital allocation and that kind of thing. I want to dig in a little bit on the... 
 [Technical Difficulty] 
Operator: We have lost his line. So we'll just move on until he redials in. Our next question is from Tien-Tsin Huang with JPMorgan. 
Tien-Tsin Huang: I hope you can hear me okay. I think maybe building on Sanjay's question around M&A. Just Ron, should the deals look similar to the -- as you called it, the classic 2 deals you guys closed here similar in terms of size and accretion? Or are some of these things perhaps bigger or smaller? I'm just trying to get a better sense of what you're seeing and what might be different. 
Ronald F. Clarke: Tien-Tsin, you can see if we don't like the questions, we just yank the guy off. So we're... 
Tien-Tsin Huang: A great strategy, a great strategy. 
Ronald F. Clarke: Thanks for your question. So I'd say looking at the thing in front of me, I think the difference is we've got kind of 2 flavors. We've got a couple of things that are similar to the AFEX and ALE. They're kind of more of what we do, where we like the prices and they're accretive. And then I'd say we've got a couple of things that are more adjacent. I think I called out a year ago this idea of kind of going up the value chain in corporate pay, like AP automation, as an example, kind of do more for the client between his ERP and our payments. So we've got a couple of things like that, that are not square in the categories but nest pretty close to them. 
Tien-Tsin Huang: Okay. Good. That's fun -- it would be fun to see what it is. And then just on the new sales front, you said that was a nice surprise. How about in the second half? I mean do you feel like there's some pent-up demand as, let's hope, everyone sort of getting back to more normal order of business? Do you see that stepping up or maybe even more than a catch-up? 
Ronald F. Clarke: Yes. I mean that's also a good question. So yes, we did our kind of nice [ 93 to 10 T Box ] review halfway through the year review and the sales forecasts are in absolute numbers always higher in the back half. So we have forecast that are up in -- up even more against the 2019 baseline. And I did try to -- I know there's a lot of chitchat in these opening scripts, but I didn't want to just double down on the comment around this digital thing. I tried to call it out, but I'd say it's the most hopeful like for me that I've done. I've taken this question, 100 times of, hey, Ron, can you just spend more? Why don't you just invest more in sales and marketing, sell more and all that kind of stuff? And I've always said that, hey, we want good returns. We don't waste money. And practically, it's hard to hire 50% more people and you have turnover.  
 So at this time, Tien-Tsin, it's a bit different with the digital because you can kind of turn the crank, right, in a way and generating more visitors. On the call, I said we did that and generated 50% more visitors in Q2 than we had in the trailing baseline quarters. So that's the one place I'd say there's a ray of light there of us being able maybe to really step up the digital sales even more. 
Tien-Tsin Huang: Okay. I'm glad you found that. 
Operator: Our next question is from Peter Christiansen with Citigroup. 
Peter Christiansen: Nice trends guys, really nice. Earlier in the year, I think there was this assumption that there's expectations that you'd make up roughly 2/3 of hard-hit accounts by year-end. Clearly, you're running ahead of that schedule. I was just wondering if you could update us on your thinking there.  
 And then just piggybacking on the last response, how are you thinking about incremental outperformance so far, reinvesting versus dropping that to the bottom line? How are you thinking about the decisioning there? 
Charles Freund: Peter, this is Charles. So on the softness recovery, I'd say the impact has basically tracked to our plan, but it's come in a little bit differently in that T&E spend came roaring back faster as the domestic airline travel and lodging that's associated with it. A few of the other areas were a little bit slower. So some of the industries that we called out in terms of cruise operators or hotels and lodging and such still haven't quite recovered where we thought they would, so mixed bag. The good news is it is tracking the plan. We do believe there's still further upside moving forward into the second half. So still optimistic that we'll get to where we more or less planned, but it may just come in a little bit different. 
Ronald F. Clarke: Pete, it's Ron. Let me just jump on the back of Chuck's comment, your part B. Yes is the answer, maybe not obvious from our Q2 results, but we actually spent some incremental money late in the quarter both in kind of incremental digital investments that I spoke of, along with IT. So I think the answer is to the extent that we're tracking ahead of what we're committing to here, I think you would see us spend more money. We've got some places where we think we can get returns now. 
Operator: Our next question is from James Faucette with Morgan Stanley. 
James Faucette: I'm not sure what happened there technically but -- and I apologize if I -- you already answered this question in my absence. But I was wondering if you could talk a little bit about the corporate payments growth. It seemed like that was a source of better performance at least versus our model and especially accounts payable. What are the kind of key drivers of strength this quarter?  
 And as a quick follow-up, I'll just get it in now. How correlated is that segment right now with respect to fuel in particular and kind of the broader business more generally? 
Charles Freund: Yes. James, this is Charles. The corporate payments business, as you said, kind of outpaced a number of the other businesses in terms of organic growth. And it was really driven by 2 areas. Our full AP was up over 50% as was the T&E. The T&E piece helped a lot through macro recovery or environmental recovery, I should say. In terms of the full AP being up over 50%, that's driven by strong sales. And so as we came through the pandemic, we actually continue to sell a lot of that product as people were looking for digital automated solutions where you can have as many people touching invoices. And you didn't need as many people to run processes. And during a lockdown, it's super helpful to outsource that process to us. So we had a lot of demand through COVID and that's continued into this year. So sales continue to be strong there, and you're seeing the flow-through on the revenue. 
James Faucette: Got it, got it. And just as a clarification then. And so that flow-through and benefit that you're seeing, is that driven by generally like just movement and acceleration of the business? And how much of that is tied or is being benefited by fuel prices and a little bit higher levels there? 
Charles Freund: Yes. We don't have a lot of fuel buying in the full AP area. So you have a little bit of it in T&E. And our T&E, our multi-card business fuel is about 7%, 8%, maybe the spend. But in terms of overall kind of what we call corporate payments, it's not a big factor. 
James Faucette: Okay. Great to hear that. 
Ronald F. Clarke: James, it's probably our technical thing to cut you off. But just to add to Chuck saying, again, the retention in that business is our world. It's super duper high. And obviously, we had incremental payments with clients we have. So that obviously drives the growth. That continues to inch up. 
Operator: Our next question is from Trevor Williams with Jefferies. 
Trevor Williams: Just so on the guide for the second half, if we back out the 2Q beat, the midpoint of the revenue guide at least for the second half is a raise of about $80 million from where you were. Could you just break out kind of how much of that is the contribution from AFEX? Fuel is a little bit higher than what was in the prior guide, maybe a little bit better FX versus just building in more organic revenue dollars in the second half. 
Charles Freund: Yes. So the $80 million lift, AFEX runs about $10 million roughly per quarter -- sorry, per month. So that will be a sizable contributor there. We are getting a little bit of macro love with fuel prices and we'll be coming -- FX seems to be kind of okay. So I'd say that between AFEX of, call it, 60 and then some of the macro and then we've got -- the rest would be organic lift versus where we thought. 
Ronald F. Clarke: Yes. Trevor, it's Ron. The macro is kind of going in a couple of different ways, right? There's happies like fuel prices that you called out. And then there's sads like, for us, like COVID in Brazil. Obviously, this came in worse than -- is worse than we thought. So there's kind of puts and takes in that. But to me, again, the thing I tried to say it earlier, I don't know people heard me, is it's not just so much the incremental guide, hey, we're guiding to whatever, 80 more at the midpoint. It's sequentially, even previously, we continue to believe there's an acceleration in the business. Again, that if you look at second half versus first half or even Q3 versus Q2, we're talking about revenue stepping up another, call it, $50 million. So I just don't want people to miss that, that we -- it's a business we can plan. And so we forecasted that roll rate, if you will, in the subsequent quarters. 
Trevor Williams: Okay. No, that's helpful. And I mean it's all moving in the right direction. And then just my follow-up on corporate pay. I mean there was good acceleration on the year-over-year growth rate but really no change from the first quarter, just normalizing for the easier comp. And I'm guessing just based on the numbers Charles ran through, I mean it sounds like virtual card is where there's still probably the most softness relative to '19 levels at least? I mean how much of that is the timing lag with invoicing from when you guys actually get paid there versus the potential for there being something that could be more permanent with the underlying customers. And then just as a clarification there. I mean, how much recapture from those soft virtual card customers do you have embedded in the second half guide? 
Charles Freund: Yes. So Trevor, you're spot on in terms of where the softness lies, mostly in that virtual card area where we would handle payments for cruise line operators, ticket operators, hotels, restaurants, et cetera. Commercial construction continues to lag a bit as well. There is still some softness that we're seeing -- lingering softness in the cross-border business, too, which I'd called out there, particularly Australia. That market is struggling and actually come back in a lockdown now. So I'd say you're spot on. We don't view this as structural, meaning that we believe it can come back or at least most of it will come back. It's just more of a timing issue. So the potential is there. It just hasn't recovered yet. 
Ronald F. Clarke: Trevor, it's Ron again. Let me just jump on to Chuck's thing that the thing that's fascinating is it's super concentrated. I don't have the exhibit in front of me, but circa 75 clients account for 1/2 to 2/3 of the softness in that particular line. And the good news is they're still alive because they haven't showed up in our losses. So it's not an across-the-board thing. It's literally the small handful of super impacted clients that are still kind of down but not out. And so to Chuck's point, to the extent that they come back, we haven't planned a bunch in the second half for them. But to the extent that they stay open and come back, that could be happy for us next year. 
Trevor Williams: Okay. Got it. And so there's not much from them that's embedded in the second half number? 
Ronald F. Clarke: Not much. 
Operator: Our next question is from Ken Suchoski with Autonomous Research. 
Kenneth Suchoski: I just want to ask about Beyond Tolls. I just wanted to get your appetite. I just wanted to ask about your appetite there to kind of open up the credit lines. And I think you mentioned that you expect Beyond Tolls to contribute to revenue growth and volume growth. So I mean what's the expectation there in terms of contribution to revenue growth in the segment or to a total company, whether that's back half of this year or next year? 
Ronald F. Clarke: Yes. Ken, it's Ron. It's a good question. So the first thing I'd say is it's been different than we planned because Brazil slid into a COVID problem kind of in the February, March period. I believe it's starting to come out. If you look at the curve, it's starting to kind of reopen. So that's the first comment is the activity and people driving obviously is less than we planned. 
 But what I'd say for this particular thing is it's less credit because we do put some of the stuff on credit cards, and we do have experience with customers that we take money from their bank accounts. So we're -- we've got the credit under control. It's a network issue for us. So we spent a lot of time optimizing the digits on the software that go in parking garages and fuel sites and fast food to get the right performance, to get super high performance and stuff. And so we put a ton of capital. I think, Chuck, it's in the $10 million to $20 million range again to build out. 
 So they're adding network like crazy now, which we see already even through this COVID lens volume going up because we've got obviously millions of consumers already that have the tag that just need a gas station or parking garage near them. 
 And so I'd say that it's the combo of those 2 things: one, the rate at which we build out the network; and then two, the rate of recovery of people driving around again. So I don't know when those -- that thing will cross the curve, whether it's later this year or the beginning of next. But I'd say we're still -- based on the investment I just mentioned, we're super bullish on the idea. 
Kenneth Suchoski: Yes. That makes a lot of sense. I guess my follow-up question. Just maybe we could touch on the Roger acquisition. I mean how is that cross-sell progressing? Are customers receptive to adopting that solution? Any comments there would be really helpful. 
Ronald F. Clarke: Yes. Another good question, Ken. So I'd say still early days. I guess we've owned it for, I think, 6 months now. We've got a few thousand. Last time I looked, having 3,000 kind of active clients, SMB clients on the platform. So it's working, it's out there. We're starting to market. Obviously, we had to do a lot of work to get the digital selling machine and the tech built in and get it combined into other FLEETCOR assets and stuff. 
 And literally this month, in August, we kind of launched the cross-sell. I think I mentioned it in the top of my comments that we're taking the fuel card UI that, what was it, call it 100,000 clients use to go in and pay their bills and basically putting in the Roger payment platform to pay the FLEETCOR bill and offer to pay additional bills. So that thing is actually going live in this month. 
 So we'll report back. But I'd say, again, we're -- the category is super high. We've got a super good product. We're selling a few thousands, and we're making sure the quality is good. And were on the 1-yard line here to launch the cross-sell. So early, but I'd say encouraging so far. 
Operator: Our next question is from Ramsey El-Assal with Barclays. 
Ramsey El-Assal: I wanted to ask you about EV. And what are you seeing in the marketplace today? Are you sort of planning for the future when it comes to thinking through this stuff? Or are you seeing fleets that are today moving in that direction? In other words, is it sort of a demand side kind of pulling you in order to make these changes? Or you just sort of trying to see what's around the curve and prepare for it? 
Ronald F. Clarke: Ramsey, it's Ron. That's another really super good question. I'd say it's a mix. So the EV action, if you will, is super pocketed. So we really only see stuff in Europe. So when we convene and we talk about EV and who's doing what, I'd say it's all quiet on the Western front here in old U.S.A. But we see it in certain markets. It's pretty active, for example, in the Netherlands. It's starting to become active in the U.K. and it's -- interestingly, it's starting with the big accounts. 
 And so what we are seeing is the corporate accounts, which I guess are trying to be green or whatever have more money and are willing to kind of dispose of the old-fashioned combustion assets are kind of the early adopters of the thing. So we are seeing some exchange, some transition among our client base at that level, at the corporate level. 
 And then Part B is what you said. We're trying to get the model clear, okay? What spend -- I don't know if had a chance to flip through the supplement we put out. But to me, it's just almost shocking that to drive a van into a EV station in the U.K. or to drive an EV van into a public charge point, it's the same cost to the guy. The guy spends -- or the gal spends the same amount of money for those -- to fill up or the recharge. Like I don't know if that would be what people would think. 
 But when you look at it based on the efficiency of the vehicles and the markup that the charge point guys are charging right there, you're like, oh, I didn't know that someone like FLEETCOR can actually get paid because there's real spend. And then this idea that we have live now of actually putting software at the employees' home to -- so he's not burdened with his own electricity costs and putting boxes and that stuff in, we're getting a bunch of money for that and a lot of demand for it. So it's a little of both. It's starting to head this way and then us trying to get out ahead of it so we can articulate what the model looks like. 
Ramsey El-Assal: Okay. That's super helpful. Just a really quick follow-up. I just wanted to make sure that I got your kind of preliminary 2022 EPS view. It's effectively all in, about $14.70 to $14.90 is what you're seeing in terms of the base run rate in addition to the interest rate hedges rolling off, M&A contribution at this point. It looks like about $14.70 to $14.90. 
Ronald F. Clarke: Yes. So let me be clear with you. We're not trying to give guidance, so let me go on the record. It's really just trying to say Chuck and I provide guidance here in the back half of $7, so just helping everybody with the math. So in a recurring business, that's an exit rate of $14, that's just what we provided. 
 And then I just did want to comment on a couple of super happy things. We work on deals and these are kind of FLEETCOR wheelhouse deals. And so they're rich with synergies. So our confidence -- my confidence is super high in that kind of $0.50 to $0.70 increment because obviously, they're late coming into our company and the synergies are well as the year goes on. 
 And the other thing is something the treasurer took me through a couple of weeks ago that we made a bad hedge or a roll off and so I'm happy. So I just want to make sure people are clear that there's some happy set of things in our business, including the exit rate of the business and these couple of things that we can see. But obviously, we're going to work hard to keep selling way more and buying way more. So I wouldn't, in one second, try to suggest that what I'm saying is anywhere near what the guidance is going to be. We'll cook that as we run through the year. 
Operator: Our next question is from David Koning with Baird. 
David Koning: I guess my first question is just in the fuel segment, thinking about Q3, normally, when we look back, it's kind of flat to up a little bit sequentially. I think this quarter, you talked about fuel will be a little bit of a sequential tailwind, which is nice. It's -- but it seems like there's going to be more -- it's going to be a nice sequential growth, just the way you're kind of guiding the year. What's all getting better like sequentially from Q2 to Q3? Like what's going to kind of drive that higher than normal? 
Charles Freund: Yes. So Dave, this is Charles. So one thing is we are seeing some higher fuel prices. So that's certainly helpful. As Ron mentioned, also great digital sales. So sales are -- and in that business, sales are recognized and turned into revenue pretty quickly, pretty quick translation. So that's helpful. Last year, as you know, sales were pretty awful. So that created a slightly different trajectory. So we're back on kind of where we want to be. So I'd say those couple of things combined with a little bit of COVID recovery still to go, but those things combined will help lift us a bit faster in Q3 versus Q2. 
Ronald F. Clarke: David, it's Ron. Just the one add to Chuck's thing there is the retention. I think someone -- Sanjay asked me at the opening of the call, I should have called it, hey, what's surprised us so far? Fuel card retention. I called out at the top of the call, we hit an all-time high. I don't know if we break it out, Jim, or not, but we're showing up at 94% for the company. But inside of that, we hit 92% from the fuel card business. So when you roll that through our sequential model, that creates lift in the second half as well. So we're at all-time retention. We've had crazy good sales, to Chuck's point, and we're getting a little bit of macro happy from fuel and COVID recoveries. So you put it all together, things climb pretty good. 
David Koning: Yes. And then I guess just as a quick follow-up.  The credit provisions have been really low. We can see that in the cash flow statement, and you mentioned it earlier in the call, too. Does your guidance for the rest of the year assume that, that stays low? And should we think of that changing much in '22? Should we like normalize it? Or what should we think about there? 
Charles Freund: Yes, David, it's Charles. So we are forecasting for credit to kind of normalize as we exit the year. So Q3 get up a little bit, Q4 get back to kind of what we would see more historically. As we're selling a lot more now, generally, credit follows the sales. I sell somewhat, and I try to underwrite really well. However, some people do get through and they go bad, then they get weeded out and the base then performs better. So as we have way more new sales now, we would expect that it's normalized. And so what I'd say is going into next year, I'd look for more kind of what we've done historically as a baseline. 
Operator: Our next question is from David Togut with Evercore ISI. 
David Togut: The transformation of the fuel card UI into a broader bill payment platform seems intriguing and reminiscent of what you did on the fuel card side when you open that up to more of a Beyond Fuel card. So can you talk about what you need to do to build this broader bill payment platform mostly on the merchant acceptance side because that would seem to be probably the heaviest lifting with this type of a payments project. 
Ronald F. Clarke: Yes. David, yes, it's -- no, we think it's a pretty big idea. As I said, we're going live this month. And I think the trend is coming to us, right, that more and more of our both U.S. and European fuel card clients are using UI, using their phone and using the desktop and particularly going there to pay us, right, their invoices, right, whether they get an e-mail reminder. And so we have all these clients showing up pretty frequently inside our software UI. 
 And so what we've done, what we've been working on is taking the Roger bill pay software and basically making it the bill payment system of record. So when you go into the UI and look over to pay something, that platform is working. So we don't really have to rebuild the bill pay platform in the network because we got that already. And obviously, we have all those capabilities from our other businesses, merchant networks and the deals we have with our friends at MasterCard. We have all that other stuff, vendors that do paper making and everything. 
 So really, it's just customers. It's just seeing if the accounts are comfortable using the UI to do more than just pay us. And we'll have certainly a report for you back, but the numbers are just staggeringly big, right? It's over 100,000 just here in the United States are paying a bill every month on these UIs. So we're hopeful, I don't know if you want to call it the super app, but the idea is more and more people are using these software apps with us. We just want them to be more useful and we've got another product that's ready to go. So it's going live. 
David Togut: Got it. And just as a follow-up, what does the unit pricing look like on this bill payment platform when you go beyond kind of fuel card bill pay? 
Ronald F. Clarke: Yes. So it's kind of almost free at this point to the client. We're looking at whether we should get subscription money for the software, if you will. But really, as you know, we get paid on the back end, mostly the stuff that we run through our cards and then obviously cross-border, call it, 8% to 10% of the stuff that could be cross-border. So we'll probably make it super attractive to our client base initially, get paid on the back side and then look to feather in some software SaaS fees as we go. 
Operator: Our next question is from John Coffey with Susquehanna Financial Group. 
John Coffey: My question is on the corporate payments segment. And I was actually looking at a company that's not traditionally a competitor of yours, Coupa. And one thing that they've been saying, they as a software company focus on procurement, they've been getting more involved in Coupa Pay. And I think what they would say is procurement and payments or payments of the procured items are actually complementary services. And if I'm paraphrasing their position right, they say, why would you go -- if you're doing procurement with us, why would you go outside and do payment when these things -- 2 things could be bundled? 
 And I was wondering what you thought of that sentiment. I was wondering if you disagree with it, why? And if you agree with it, is there any thought you would have that you would get maybe more exposed to the software side of the universe, particularly the procurement side of the universe? 
Ronald F. Clarke: John, it's Ron. That's also a good question. So first, just FYI for you, the company we bought 2 years ago called Nvoicepay in Portland was the pay provider to Coupa Pay. So we're pretty clear on what Coupa Pay is trying to do. I don't think you could ask them that they've done a lot today of combining the pay with the software, but I know that that's their ambition. 
 So what I'd say is for a year or 2, we've studied and looked at a bunch of companies that have software that's kind of up the value chain, right, AP automation, scheduling approval, workflow software and even on top of that kind of procurement contract compliance kind of software that you've mentioned. Our take on it is it will be all of the above, which means some clients will just take that AP automation software like they do from Coupa and not to pay. Some people will just take pay like what we offer, and some people will take both. And I think I've repeated that we probably will offer that. We probably will offer the both. I don't know if we'll offer the stand-alone AP automation software or not, but that's our take that based on the size of the company and the industry that they're in and the research that we've done is it won't be one size fits all. It's not like everybody is going to do it one way. 
 So we think it's a good idea. It's something that we'll look probably to offer. We do partner with people where we offer the pay into their software. So we're studying how well they're doing it. I call it, peanut butter and jelly. Is it going to be peanut butter and jelly? Or is it going to be not peanut butter and jelly? So I think the jury is still out on it. 
Operator: And our final question is from George Mihalos with Cowen and Company. 
Georgios Mihalos: I guess I'll ask 2 quick ones upfront. I guess on the sales momentum, the 106% of '19 levels. Just curious, Ron and Charles, where -- from a segment perspective, that seems to be outperforming where you feel you're doing better than expected and maybe sort of the pockets of any weakness, if there are any, from the new sales side. And then separately, Ron, just curious at a high level out of Washington, any thoughts about the infrastructure bill and what that might mean for FLEET? 
Ronald F. Clarke: Yes. George, it's Ron. On the first part, the sales thing. So yes, I think I mentioned we've been surprised to the upside against the plan that we built. And I'd say this -- I'm sure it will sound funny to everybody, but it's been fuel. We've actually sold more year-to-date in the forecast. So the second half is actually higher in fuel than the plan that we built. So most of the overperformance against our internal expectations is fuel, and most of that overperformance is digital selling. We keep growing the share of new digital accounts that we're onboarding. And as I mentioned, we're investing more at the top to try to drive that. So that's the overperformance. 
 I'd say everything else is kind of mostly on plan. We're super pleased with it. As you mentioned, the plan is up, way, way up from last year and even up against '19. So I'd say everybody else is kind of delivering what we hope for. 
 On Part B, who knows on the infrastructure bill. I'd say, first, tell me what infrastructure is. And if it's like what it would be, what you think it would be, which is kind of fixing stuff and construction-centric, it could help us a lot. I'd say it looks a lot to us like the stimulus from last year obviously helped us get paid and helped a lot of our clients stay open and pay payroll. And so I'd say the same thing that if that comes to pass and gets funded and its regular old fashion kind of infrastructure where stuff gets built, we're pretty weighted concentrated in that construction segment. So it's got to help us. If there's more money and more work for those sets of companies, that will flow through to us. I'm not counting on it, George, by the way. It's a political thing. But if it comes to be and it comes to be the old-fashioned infrastructure, it's happy for FLEET. 
Charles Freund: And George, I would just add as Ron talked about the concentration in the construction vertical, that's not just in fleets that also pertains to our lodging business and our AP, full AP and virtual card businesses. 
Ronald F. Clarke: George, anything else? 
Georgios Mihalos: No, I think we're set. That's great color. Really appreciate it. Hopefully, that's a point of upside. 
Operator: And that does conclude our question-and-answer session. This is -- this concludes the conference. You may disconnect your lines at this time, and thank you, everybody, for your participation.